Operator: Greetings and welcome to the American Vanguard Corporation's Second Quarter 2017 Conference Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. I'd now like to turn the conference over to your Host Bill Kuser, Director of Investor Relations.
William Kuser: Thank you very much, Ector, and welcome everyone to American Vanguard's Second Quarter and mid year earnings review. Our speakers today will be Mr. Eric Wintemute, the Chairman and CEO of American Vanguard; Mr. David Johnson, the Company's Chief Financial Officer; and also to assist in answering your questions Mr. Bob Trogele, the Company's Chief Operating Officer. This afternoon American Vanguard filed our Form 10-Q with the SEC, related to the second quarter and mid year results that we will be discussing in this call. Before beginning, let's take a usual cautionary reminder. In today's call, the Company may discuss forward-looking information. Such information and statements are based on estimates and assumptions by the Company's management and are subject to various risks and uncertainties that may cause actual results to differ from management's current expectations. Such factors include weather conditions, changes in regulatory policy, competitive pressures, and various other risks that are detailed in the Company's SEC reports and filings. All forward-looking statements represent the Company's best judgment as of the date of this call and such information will not necessarily be updated by the Company. With that, I will turn the call over to Eric.
Eric Wintemute: Thank you, Bill. Hello, everyone, and welcome to our midyear earnings call, and thank you for your continued interest in American Vanguard. Before getting into the details, I want to give you my broad impressions of our recent financial performance and future prospects. As you will have read in our earnings release, we recorded healthy top and bottom line performance for the second quarter and first half of 2017. Sales were up 7% for the quarter and 4% for the half-year, while earnings were up 33% for the quarter and 28% from the half year. This was due largely to the diversification of our base business and disciplined operating and financial management. As I mentioned in the last quarter, we continue to show resiliency and being able to generate positive overall results across several markets, despite the fact that some markets like cotton are up while other markets like our corn herbicides are down. I am pleased with our results, particularly in taking -- when taking into account that industry as a whole is down during the first half of this year. Looking into the future, I will -- kind of I will comment on this further, I am optimistic. For the balance of the year I expect to see stable performance overall from our existing product lines, both domestic and international. In addition, we should see incremental improvement in our top line sales, especially in the fourth quarter and carrying over into 2018, from recently completed acquisitions. To the extent that we consummate deals on which we are currently working, these acquisition should also confer additional benefit this year and have a greater impact in 2018. Also, and I will leave this to David for his reflections, we anticipate improved factory absorption for the balance of the year. This should serve to enhance near-term profitability. Before turning the presentation to David, I wanted to give additional color on market conditions that supported our Q2 and year-to-date performance. During the reporting periods, we continue to see strong demand for cotton products, BIDRIN and Folex, driven largely by a 20% increase in plant and cotton acres this year. In addition, growers are anticipating increased test pressure following the year of unusually low pressure. Similarly, we experienced growth in our granular soil insecticide products in the quarter and first half. These were led by solid demand for soil insecticides in the Midwest corn market, while channel inventories have been at extremely low levels. Sales of Thimet in the peanuts, which also experienced an increase in planted acres and sales of Counter are for nematode control. Our non-crop market also showed sales increases. In this segment, sales of Dibrom, our mosquito adulticide rose to domestic customers replenish their supplies to combat vector-borne such as West Nile and Zika virus. We also recorded increased income from Envance as they closed on a long-term licensing and development agreements with the major consumer company relating to our essential oil business. Our international sales were stable as were sales in the various other markets, such as fruits and vegetables. However, not all of our markets were at or above last year's level. For example, in the first quarter, sales of our soil fumigants to fruits and vegetables and potatoes declined due to persistent wet weather, which prevented growers from applying these pre-plant products. In addition, sales of Impact our corn herbicide dropped as competitors cut their prices in response to Mesotrione, an older herbicide coming off patent. We're working on some corn herbicide mixtures to expand our offerings in the 2018 season. As David will report, our gross profit margins increased in this year's second quarter and half year, and we continue to generate positive cash flow and pay down debt such that just over $26 million our debt level is the lowest that has been in a decade. Well with improved financial performance and cash flows, our borrowing capacity continues to grow and position us to take advantage of the most robust product acquisition market that I've experienced in my career. Now let's turn it over to David for his review of the financial details. David?
David Johnson: Thank you, Eric. Good afternoon, everybody. As Bill mentioned, we filed our form 10-Q for the three and six months ended June 30, 2017 earlier today. Everything I’m going to cover here in brief is included in more detail in that document. With regard to the financial results, as Eric just detailed, the Company sales for the second quarter of 2017 increased by 7% to $78 million as compared to sales of $73 million last year. Our second quarter gross margin improved to 44% as compared to 43% last year. Operating expenses increased in dollars driven by higher legal costs, offset by timing driven slightly lower expenses related to regulatory and product development studies. These costs decreased as a percentage of sales from 36% in Q2 2016 to 35% this period. Overall, net income ended at $4.3 million or $0.15 per share in the second quarter of 2017 as compared to $3.2 million or $0.11 per share this time last year, an increase of 33%. Year-to-date sales were up 4.5% to $149 million as compared to $142 million this time last year. Our gross margin have improved to 43% as compared to 41% for the first half of the prior year. Operating expenses increased, but remain flat as a percentage of sales at 35%. Interest expenses down as we have worked down debt despite spending on product line acquisitions and other growth initiatives. The tax rate is pretty much in line with 2016 and net income has improved 28% to end the $0.26 per share as compared to $0.21 per share last year. From my perspective, the key financial issues remain consistent with prior periods. First, we continue to carefully manage our factory activity as we balance recovery of overhead costs with demand forecast and inventory levels. In the six months ended June 30, 2017, our factories have seen about a 3% increase in costs. While factory activity has increased by 7% adding $0.5 million to the pre-tax line. Our Q2 is historically a strong manufacturing quarter. This was the case in both 2016 and 2017. Looking forward to the rest of 2017, our manufacturing plant looks very solid for the second half and should drive us closer to record levels of utilization and cost recovery for the full-year. Second, as I mentioned, gross margin for the quarter was 44% as compared to 43% last year. This 1% improvement was mainly driven by sales pricing and mix. Our factory performance was broadly in line with the prior year and though we have seen some movement up and down in different raw materials, our blended purchasing cost is pretty much flat year-on-year. Year-to-date gross margins improved to 43% from 41% in 2016. This improvement was again primarily driven by sales mix and pricing. However, our factory performance did account for about a half of 1% of the improvement. Good. Our factory performance is linked very closely to inventory levels. If you look back to this time last year, we had inventories of $151 million. This year we are $24 million lower at a $1$27 million. We continue to follow a disciplined approach to managing demand, factory output, and raw material purchasing. We are pleased with the second quarter performance which was slightly better than we anticipated when we last spoke to you. We believe we are on track to achieve $110 million level at the end of 2017, excluding the effect of acquisition activities. Four, our effective tax rate ended the quarter at 26.8% as compared to 26.5% last year. Our tax rate is driven by the balance of where we make our profits specifically U.S or international, and the level of those profits. For the second quarter of 2017, we had both a strong domestic and a strong international performance. Year-to-date our effective tax rate is up 27.5% as compared to 26.2% reflecting the relatively stronger year we are anticipating, the domestic U.S business will have. Finally with regard to balance sheet management and liquidity, we continue to carefully manage cash and working capital. We ended the second quarter out of debt domestically, notwithstanding funding the three product lines we acquired during the period. The balance of our debt reported at June 30, 2017, relates to international acquisitions made in the second quarter of 2015. With respect to cash, we have generated $34 million from operating activities year-to-date as compared to $25 million in the same period of the prior year. This is the 10th straight quarter during which we have generated cash from operations, which over the period has amounted to $159 million. At the end of the second quarter availability under our line of credit has increased to $143 million as compared to $93 million this time last year. This further improvement in our liquidity position resulted from consistently working to reduce debt, coupled with the improved financial performance in the first half of 2017/ versus the same period last year. Furthermore, the Company has just executed an agreement with our Bank Group to extend our credit facility a further five -- for a further five-year term and increase the potential borrowings under that credit line from $300 million to $350 million. At June 30, 2017, the Company utilized $27 million of the line. Such improving liquidity leaves the Company well position to take advantage of divestment opportunities from consolidation activity that is currently ongoing in the global ag-chem market. In summary, when looking at 2017 we can reflect on a solid first half of the year with improved sales, factory performance, gross margins. net income and liquidity. We can also reflect that so far we’ve acquired a new products, and as Eric has mentioned the list of acquisition possibilities has never been stronger. Our performance so far this year leaves the Company well position to take advantage of those opportunities during the balance of the year. With that I will hand back to Eric.
David Johnson: Thank you, David. Let me comment on factors that could affect our performance for the balance of the year, and then briefly review investments that we are making to fast flu, American Vanguard's growth in the longer term. In the second half of 2017, we anticipate the following: with the 20% increase in cotton acres planted this year, we expect demand for our Folex harvest defoliant to be solid through the third and fourth quarter. In the corn market, we have seen an uptick in demand for our granular insecticides and think that soil insect pressure maybe on the rise in the Midwest, which could lead to stronger year-end 2017 sales. Prior to the 2018 planning season, as I had mentioned earlier the corn herbicide market remains competitive. Accordingly we are expanding our corn herbicide offerings and we work to maintain brand value of Impact, which continues to enjoy customer loyalty in spite of the pricing pressure. With predictions of heavier than normal hurricane season this year, our Dibrom mosquito control business should continue to benefit. Although weather-related application delays have temporarily slowed our soil fumigant business in the first 2017. We expect to return to more normal sales levels. This autumn and the spring, our national business continue to grow with existing products like, Mocap and Nemacur being supplemented by newer additions Hyvar and Krovar. In addition to sales of existing products, we expect to benefit from newly acquired and about to be required products. As you know, last month we acquired three new active ingredients and seven proven products from Adama that further diversify our portfolio. In recent years these products have generated annual sales of about $30 million. In our U.S market, that exceeds $200 million in sales per year. We have begun showing orders for these products and will continue to do so, over the balance of 2017. As we enter 2018, we will benefit from four season sales of these products, which are used on multiple crops and many regions. Also as I had mentioned earlier, we're in the midst of negotiating and/or closing other product line acquisitions as with the Adama products we plan to begin making sales promptly after closing these deals and expect to see both top and bottom line benefit during the fourth quarter with four season impact in 2018. Some of these opportunities flow from industry consolidation, while others are standalone divestments. We're finding that in light of the number of divestitures within the industry, this has become something of a buyers' market. Nevertheless it bears repeating that we only pursue deals that are accretive to the Company, remain judicious about borrowed debt and keep our eyes trained on maintaining a strong balance sheet. Turning now to the longer-term growth initiatives, we continue to invest in alliances that provide us with global market access. As we’ve previously reported, we have spearheaded our strategy in the Asia-Pacific region through the creation of the Hong Kong joint venture with Huifeng, one of the premier agrochemical companies in China. This partnership not only provides better market access to the region, but offer the technological, regulatory, manufacturing, coloration and the potential for co-investment and acquisition opportunities. In fact, we are presently bringing our two businesses together to strengthen our participation in the Australia and New Zealand market. In addition to market access investment, we continue to cultivate growth through innovation. Our SIMPAS precision application system has been field tested this planting season by a dozen growers. And the feedback that we have received about the ease-of-use and reliability of the system has been excellent. The performance of our wireless control system, the accuracy of our meters, and the durability of the system has been remarkable. As we announced this afternoon, AMVAC is entered into an agreement with Simplot Grower Solutions to continue the development of this advanced soil treatment technology. The opportunity combined SIMPAS, variable-rate application technology with Simplot smart farm prescriptions and post harvest analysis will give participating farmers the ability to target crop protection, and nutritional products in a precise manner. We will be featuring this system next month, at the farm progress show, indicator Illinois and expect to be making additional announcement regarding other collaborations related to SIMPAS. Over the coming months we also are driven driving forward with the pipeline of new product candidates that could provide additional portfolio expansion in the coming years. And similarly our affiliation with people, product, screening, efforts in Europe continues to offer possible new biological product offerings. In closing I would say this, we continue to generate solid financial results in a challenging industry. The diversification of our based business coupled with financial and operational discipline have helped us to achieve a degree of consistency in our results. This in turn has served to enhance our borrowing capacity in the midst of a robust acquisition market. Consequently we’ve been able require accretive products well improving our balance sheet. And so, and through all of this we continue to invest in our longer-term future through market access and innovation. In short, we are building something remarkable here and it's a pleasure to be part of it. Now I’d like to open this up to any questions you may have. Hector?
Q - James Sheehan: Thank you. The pricing pressure that you are seeing in corn herbicides. Can you talk about how much lower your pricing was for impact in the quarter. And also talk about how much more pricing pressure you expect to observe maybe in the second half. Whether you think this is to be extended through the rest of the year.
Bob Trogele: Hi, Jim. Bob Trogele here.
James Sheehan: Hi, Bob,
Bob Trogele: Jim, the pricing pressure really came from our competitors. So with Syngenta reacting to their core molecule mesotrione and there was a response then by Bayer and a response sent by BASF and we did not follow the price increases directly. We just -- mostly look for margin opportunity for our customers.
Eric Wintemute: So we definitely watch market share in the process. So that’s part of our strategy is we will be offering combination products. And that’s really where the pressure has occurred. It's not Syngenta didn’t see on their combination products, they do not react on pricing there, but its more the generic on the street product itself. So our approach for this upcoming year will be to focus on combination product that we’ve obtained registration for.
James Sheehan: Okay. And now could you describe what those combinations entail? What -- this is something that you formulate separately or differently because we got to expand on that a little bit.
Bob Trogele: Yes, it's a combination with atrazine. So it's in topramezone or Impact with atrazine, and I’m trying to remember the brand name. Do you remember it?
David Johnson: Impact Z.
Eric Wintemute: Impact Z, yes.
James Sheehan: Great. And then on the Adama product sales, you said you had some sales of those in June. Can you quantify roughly how much you sold during the second quarter?
Eric Wintemute: Yes, I think -- yes, we’ve $1.2 million in the three-week period that we had the product.
James Sheehan: Okay. And then on some of the -- you outlined about seven different product line opportunities where market access agreements that you are working on last call. And is the number that you’re working on now higher or lower than it was last time and anything -- any further color on some of those deals you were working on?
Eric Wintemute: So, I think one has dropped off and we’ve picked up a couple more that are early stage that are not part of the divestment piece. But there was one major piece which I think, in the last call we are still active, which was the DuPont sales, but as was announced this is wound up being a much bigger investment that DuPont was forced to make, and they wound up picking FMC to do that with.
James Sheehan: Okay. And so you're expecting to make some announcements in the coming months on that group of opportunities?
Eric Wintemute: Yes.
James Sheehan: Great. Thank you very much.
Eric Wintemute: Yes.
Operator: Our next question comes from Francesco Pellegrino from Sidoti. Please proceed with your question.
Francesco Pellegrino: Good afternoon, guys.
Eric Wintemute: Hi.
David Johnson: Hi.
Francesco Pellegrino: So, in the non-crop -- this non-crop margins were really impressive and I would assume that it's due to Dibrom. I know you probably don't want to give us what Dibrom was up, but is there a way to almost quantify like with the volume change was for Dibrom?
Eric Wintemute: It was up about 30%.
Francesco Pellegrino: Okay. So with on volume change up 30%, so it's the favorable product mixture towards Dibrom, okay.
Eric Wintemute: Hold on, for the first half, yes. I’m sorry that’s over the first half. David was correcting me.
Francesco Pellegrino: That’s for the first half, okay. Okay. And then I just want to quickly jump over to the acquisition. So the acquisition of the three products, is there any color into the inventory channel of what the channel looks like when you acquire the products? Was there aggressive selling into the channel and maybe, right off the bat you might not get that $30 million annualized run rate for the third quarter?
Eric Wintemute: Yes, so let me just kind of discuss each of the three products separately. So the biggest volume is paraquat. That is a margin gain. So it has lower margins. It really is a function of buying correctly, and we feel we positioned our self to be in that position to have adequate product at a profitable margin, let's put that way, that would be attractive for us to participate. The second one chlorothalonil, that's really a product that’s in shortage globally and has been short for some time. So that's just obtaining the material and we have secured maybe not as much as we want, but we have -- and we took over with essentially zero inventory, zero in channel, and we have product that’s coming in this quarter and in fourth quarter. So we feel like we've gotten that reasonably under control. And the last one avermectin, availability is there, margins are good. It's just a matter of how to maintain and grow market share. So those are kind of the three colors on those three compounds.
Francesco Pellegrino: Given the acquisition price of $13.4 million, I know I’m not going to get the EBITDA margins for these products from you. But if I assume an 8% EBITDA margin, I get at a 5.6x valuation, I assume a 10x EBITDA margin I get to a 4.5x. And then if I assume they are in line with the company which is probably not at 12x, they get a 3.7x valuation. You said it's a buyer's market and these valuations look really cheap. Going forward, why are the multiple so cheap? Are there not enough buyers out there or the products that are being divested for very fragmented or a niche market, why are you positioned so well to be acquiring these assets at such low multiples?
Eric Wintemute: It's a very good question. We’ve acquired -- we’ve been very successful over the year in making acquisitions, I think we’ve got 40 or so that we've done. We have done deals with virtually everybody and certainly those that are in the process of divesting now. Price is not the biggest issue in these divestments. Having a company that can market these products well, that can close the deal quickly, that does not make a lot of demands on the divestitures, and we’ve always kind of taken the position that we're the smaller player. If the larger company has some wishes on how they want to structure the deal, we're extremely flexible. So I think a lot of what we're seeing is the fact that we've got a reputation and have demonstrated it over the past 30 years of being able to take over products and market them successfully, well providing good stewardship and not having an issue with maintaining registrations. So I think it's really our track record that's giving us a nice advantage here.
Francesco Pellegrino: What's the sweet spot for deals? Is this $30 million deal or I know we are not going to see anything transformative, but given where your bank that was just expanded to, how high would you go for a single product? Because I would think you wouldn’t want the product portfolio having too much exposure to one item.
Eric Wintemute: We're open. I will just leave it that way. We participated twice in the acquisition of Chemtura. We weren't successful either time, but those were big numbers. And frankly we have partners that would like to be part of these transaction. So the bigger transactions you probably have partners lined up, that would work with us. So, yes, I don't think we’re I mean, again if they all have to be accretive, but I think we're able to participate in some of the bigger divestments,
Francesco Pellegrino: And I know it might not be as sexy right now, but when we talk about some of the organic growth opportunities for the Company, could you maybe just discuss a little bit in regards to, like for example the glyphosate issue out in California or the dicamba issue down in Alabama, which of your products are well-positioned to start maybe stealing back some share from these competitors upsides?
Eric Wintemute: I mean Impact certainly has worked well with glyphosate in corn. The Paraquat though is -- will be more universal and I think we'll have some upside, because of some of the things that you’ve mentioned. I don’t know Bob you had any? Okay, right. Go ahead.
Francesco Pellegrino: That’s it for me. Thank you, guys.
Eric Wintemute: Thank you.
Bob Trogele: You’re welcome.
Operator: Our next question comes from Joseph Reagor with ROTH. Please proceed with your question.
Joseph Reagor: Good afternoon, guys. Thanks for taking the questions.
Eric Wintemute: Hi.
Joseph Reagor: First, congrats on those quarter. And especially looking at your gross margins to be able to grow them given that herbicide traditionally have been the highest margin business, and it's been declining this year. That’s a real achievement.
Eric Wintemute: Thank you.
Joseph Reagor: On that note, you gave some color as to certain herbicide sales have been lagging this year and year-to-date you’re looking at a 20% decline in sales revenue from herbicides, fungicides, etcetera. What are you thinking as far as the second half? Was that just not only just a decline, but also a tough comp on the first half or should we expect similar levels of sales decline year-on-year for the second half of the year?
Eric Wintemute: At this point we're not in anticipating recovery of our Impact. I mean that season is done and gone. We did see drawdown on inventory on channel, so there will be less inventory going into the year than we've seen in recent history. We -- as I mentioned, we're looking to position our new product Impact Z to try and get some of the market share that we’ve lost back. But, yes, I don't think we're anticipating a resurgence back to the sales that we've lost in the first half of this year.
Joseph Reagor: Okay.
Bob Trogele: And having said that, Joe, the other piece is that our organic growth we do have herbicide solutions in our pipeline, which will be coming to the market that will fill that gap and probably even expand our portfolio.
Joseph Reagor: Okay. Fair enough. And then on the acquisition front, do you give as much color of a breakdown as you could of how the revenue from the three product launches acquired the $30 million, how that would breakdown from in segments? Is it all in one segment, is it between a few? And what that breakdown would look like?
Eric Wintemute: We’re not giving a specific, but I think what I was indicating before is that a good proportion of those sales are Paraquat. So that’s the largest. The other two are, well, I would say kind of mixed, but I mentioned on chlorothalonil, if we had more volume we would sell more, if we had raw materials. But I think we're looking at maybe chlorothalonil based on what we've got in our pipeline of product coming in will be a little higher than avermectin. But I’m wary of giving you a breakdown of the percent of what the historic sales were on that $30 million.
Joseph Reagor: Okay. Fair enough. And then, this is probably maybe a big picture question. Your international sales were up year-on-year. There was a couple of people who had speculated that sales will be down for a number of people internationally. Europe was an issue, Latin America was an issue. Could you add any color as to why you guys have strength where we might be expecting weakness for other players?
Eric Wintemute: Well, I think on the Krovar and Hyvar, I think we’ve been -- we still have upside to get there, because we had some transitions in Asia-Pacific where DuPont was continuing the sale and essentially we were getting just the royalty stream from it. So we see some upside coming from that. Mocap has been good for us, a healthy increase on Mocap. Nemacur has not been strong, but I think we see stronger growth in that going forward. David from your perspective anything or Bob?
Bob Trogele: I would just say we have very little exposure to Brazil where some of our competitors would have reported issues in Brazil.
Joseph Reagor: Okay. Thanks for the commentary. I will turn it over.
Operator: [Operator Instructions] Our next question is from Chris Kapsch with Aegis Capital. Please proceed with your question.
Chris Kapsch: Yes, good afternoon. I want to follow-up on the discussion around acquisitions and really focused on scope. So you mentioned that you’ve looked at Chemtura, that was a deal that was done for $1 billion back in a couple years ago, I guess, and you mentioned that you are interested in DuPont I don't know that that bite size that with sales of $1.5 billion I think you had suggested that maybe was a bigger chunk of assets and maybe you are interested in, but I guess the point is though that in terms of scope those are any sort of deals with those kind of targets would be something that would be construed as transformative for AVD. And then you mentioned the balance sheet capacity that you have the borrowing capacity given what -- given at the buyer's market and given that the multiples that we're talking about here, you can do some quick math and see that -- if the right opportunity comes along, you could more than double the size of company, it looks like so. So my question though is like what you’re comfortable doing in terms of both that the scope whether it's -- and what's important in terms of that scope and then also in terms of just bandwidth in terms of integrating something that would be substantial enough to be construed as transformative?
Eric Wintemute: Good question, Chris. And we're -- the acquisitions that we’re kind of -- that we’re working on right now as you mentioned, if they do come to fruition, they’re transforming the company. We have strategic partners that we are working with on some of these acquisitions. We have acquisitions like Adama acquisition that -- those potentially and we do those on our own. As far as our ability to absorb something large and be successful with it, I had complete faith in our team. This is what we do. We take over product some of them that have real challenges. We’ve got a extremely talented team now that we’ve strengthened particularly over the last five years, that all have had experience with larger companies and managing businesses larger than what we’re talking about here. So I think we've assembled the right team to integrate, should we be successful in making those acquisitions.
Chris Kapsch: Can you make any comments on just geographic scope, what's important strategically? I would think your commercial infrastructure channel to the market is obviously most established North America. What's important from a geographic standpoint for you as you look at these opportunities?
Eric Wintemute: Yes, again, we have -- there are number of factors we look at and then we make an acquisition and it helps our manufacturing that gets a point. If it doesn't, that's fine. We look at if it's in our current sweet spot, great. We can grow stronger. If it's not, it's part of our plan to be a global ag chemical company, and we can use these opportunities to spring forward in markets that we're currently not strong with. So, our -- we basically have plans on how are we going to expand globally that we're unfolding and these type of acquisitions if they’re in regions where we're not there yet, it gives us the ability to do so immediately. When we were offered SmartBox and Fortress from DuPont back in 2000, I said you guys were kidding, I said. We’ve never sold a dollar in corn. I mean that's a whole different market, but they convinced us to make the acquisition we did and within two weeks we had our team manned at the convention and started selling, hit the ground running and certainly from -- it became a major, major part of our business, the U.S corn. So, again, we’re so much stronger today than we were back in 2000. And as I said, the team that we've assembled are all seasoned experienced veterans that will be able to make this trends transition and I’m confident.
Chris Kapsch: That's helpful. Thanks for the color on that. And I did have a follow-up really focused on David's comment around gross margin and a couple of points that he made. But specifically the anticipation that the gross margin from the factory performance did not improve in the second quarter, but the mix did help. The margin improved, but going forward as you achieve your goal of by year-end, I think it was $110 million of inventory. I think that implies that as you’re weaning inventories now that you’re not optimizing the utilization and therefore the unit absorption variances in the factory, so help me on that -- and then I would assume that what you're implying is once you’ve gotten to that sort of target inventory levels and presumably the factory can operate with better absorption variances starting in calendar '18. So just wondering if that's the case and what sort of potential upside you see in the gross margin lines, all things equal just from not having this sort of overhang from inventories?
Eric Wintemute: So I think, our second half predictions for factory utilization is very strong. And so I think we'll see improvements there. We -- as we are ramping up for growth both domestically and internationally, we do have headcount that we're looking at judiciously as certainly with the latest acquisition that we did announce in the last month that we will probably pick up four or five people to help grow that market for us. Internationally as we expand in Asia and in -- and specifically down in Australia, we're looking at some headcounts there, we would look to start moving forward in Brazil. And then on top of that we've got still investments, particularly in the RFID chips for SIMPAS. As we have more products, our regulatory expenses will likely increase. So I think operating expenses will move up some, but I think as far as margins it looks healthy going forward, right. David?
David Johnson: Yes, I think the big thing is in the last couple of years, we’ve seen a strong first half and a weaker second half in terms of factory activity and recovery. And as a consequence, we’ve been predicting through those years that we would see a recovery fall off towards the end of the year, and we’re not seeing that this year. So we’re seeing a stronger second half than we had in prior years.
Eric Wintemute: And then we had in the first half.
David Johnson: Yes.
Chris Kapsch: And can you just extrapolate on how that sets up for the performance in gross margin for '18? I know it's a ways away, but I mean, it sounds like if you're -- the strong performance you expect in the second half is driven somewhat by anticipated demand ahead of next year's growing season. So anyway, if there's any way you can extrapolate the gross margin expectations of the factory?
Eric Wintemute: Well …
Chris Kapsch: Piggybacking off the strong second half performance that would be helpful.
Eric Wintemute: I mean, I think the factory looks good, but we're bringing on as I mentioned the product like paraquat were the margins are historically and we expect going forward well below what our average margins are at now. So to the extent that we're more successful with sales they’re that'll have some impact on our margins overall. And also internationally because of the favorable tax structure we have there, we're more inclined to put effort behind lower margin products there. So it's -- there's a lot of factors that go into it. I think we have the positive side of certainly factory performance. I think our raw material situation is very strong as far as savings there versus earlier years, but encountering that again we have these sales maybe of lower margin products.
Chris Kapsch: Right. That’s helpful. I appreciate.
Eric Wintemute: The bottom line is we are after the bottom line. So it's -- EPS is what's driving …
Chris Kapsch: Got it.
Eric Wintemute: … the decision, not just our gross margin.
Chris Kapsch: That's helpful. Can I just sneak in one last one? Your press release around SIMPAS, because I know it's near and dear to you, Eric, and also thank you for putting the -- what the acronym stands for in the press release. So -- because I'd kind of lost track of that, but the -- what I was curious about is the -- so the steel test that you’re doing with J.R. Simplot, can you just talk about like what's expected to come from that and then how it affects maybe the adoption of this technology over what timeframe? That would be helpful. Thanks.
Eric Wintemute: Okay I will start and then Bob if you want to fill in where I missed. So there are kind of three components here. One is the equipment itself and to do what it needs to do, which is having the GPS ability to be able to apply a prescription. Also the RFID chips, which will ultimately be used to monitor the flow of the product in the field specifically as well as any material that partial containers that might come back. The piece with expanding the products that can go through SIMPAS requires some effort to get products that will work through the system both granular and liquid at the right rates, so the concentrations need to be set, because we’re trying to target where each product that goes out would last about a day of planting. So getting those pieces together, but and then this other piece again was okay we need to find people who can write the prescriptions and that’s Simplot's role, through their smart farm they are looking and have had good success at understanding we're nutrients belong in the soil where they’re needed and where they’re not, but now with this they will be able to actually make those applications of their prescription and then of course with that they will build upon other needs that that the field may need such as nematode, spot nematode control or insect pressure or disease as well. So that's -- they are kind of at the forefront within the community as far as being able to write prescriptions and they see this as an ability to take that and move it to the next level. Bob?
Bob Trogele: I think you said it all, Eric, unless there is a follow-up question.
Chris Kapsch: I was just curious about like how the adoption -- how this field trial might affect the adoption timeline? Thank you very much.
Bob Trogele: Well, we had -- just to give you a little more color on that, we had -- we tested this year in the field 5,000 acres. Simplot had in their development farm also. So a number of customers both at the retail side and at the grower level, tested the system and the feedback was very, very positive. And we are just now moving forward to get more users and then actual prescriptions into the system with innovative farmers for them to try it. Hector?
Operator: All right. Our next question comes from Jay Harris with Axiom Capital Management. Please proceed with your question.
Jay Harris: Eric I can't imagine you become debt free. So I’m looking forward to some press releases.
Eric Wintemute: Yes. So is our bank.
Jay Harris: I’m going to make some statements and I would like you to pick them apart. Tell me what’s wrong and perhaps -- or give some insights. You’ve acquired products that have -- that looking backwards at $30 million in annual revenues. You indicated that it'll take a little time to step up, so that you could maximize your selling position on these products. I’m assuming and that the $30 million is provided evenly between the first half of the year and the last half of the year. Should we expect that we get $15 million or more in revenues in the last half of the year or $15 million -- slightly less than $15 million of revenues in the last half of the year out [indiscernible]?
Eric Wintemute: So I think, Bob correct me, these -- they’re stronger, I mean, the Paraquat use year round certainly, but there are stronger sales in the first half of the year I think of overall with these products.
Bob Trogele: That’s correct, Eric.
Eric Wintemute: Yes, and staffing up. Yes, I think we’re comfortable that we can offer a competitive position with these products. Currently we just tell people to get work a little harder, but with the idea that okay as we are looking to grow not just on acquisitions but our existing product line and again mentioned that we've got a pipeline of new products. So look alone kind of internal ideal products that we’re pulling together that don't require acquisitions. So part of that is there. So I don’t know if that answers your question, but I think it's probably weighted heavier in the first half. And then there is of course the supply ability of chlorothalonil.
Jay Harris: Yes, that’s good insight. Thank you.
Operator: [Operator Instructions] Ladies and gentlemen, we have reached the end of the question-and-answer session. I would now like to turn the call back to management for closing remarks.
Eric Wintemute: Okay. Well, I’d like to thank everybody who took the time to dial in and listen today. Its -- and it's exciting time for us. We're thrilled that you’re looking to be part of it, so thank you and we look forward to additional announcements as they come available in our next call which should be around the end of September, 1st of October. So thank you all for participating.
David Johnson: End of October.
Eric Wintemute: I’m sorry, end of October, 1st of November, sorry. I keep pushing David to finish closing within a day of the end of the quarter. So we haven't gotten there yet. All right. Thank you all. Bye.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.